Operator: Greetings, and welcome to the Colony Financial Incorporated First Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to turn the conference over to your host, Mr. Lasse Glassen with Addo Communications. Thank you, sir. You may begin.
Lasse Glassen: Good morning, everyone, and welcome to Colony Financial, Inc.'s first quarter 2014 earnings conference call. With us today are the company's Chief Executive Officer, Richard Saltzman; and Chief Operating Officer and Chief Financial Officer, Darren Tangen. Neale Redington, the company's Chief Accounting Officer is also on hand to answer questions. Before I turn the call over to them, please note that on this call, certain information presented contains forward-looking statements. These statements are based on management's current expectation and are subject to risks, uncertainties and assumptions. Potential risks and uncertainties that could cause the company's business and financial results to differ materially from these forward-looking statements are described in the company's periodic reports filed with the SEC from time-to-time. All information discussed on this call today is as of today, May 9, 2014, and Colony Financial does not intend and undertakes no duty to update future events or circumstances. In addition, certain of the financial information presented in this call represents non-GAAP financial measures. The company's earnings release, which was released yesterday afternoon and is available on the company's website, presents reconciliations to the appropriate GAAP measure and an explanation as to why the company believes such non-GAAP financial measures are useful for investors. And now, I'd like to turn the call over to Richard Saltzman, Chief Executive Officer of Colony Financial. Richard?
Richard Saltzman: Thank you, Lasse, and welcome everyone to our first quarter 2014 earnings call. We're off to a terrific start in 2014 with first quarter core earnings of $0.33 per share, which is up from core earnings of $0.27 per share in the same quarter last year. We are particularly pleased with this result since it includes $0.06 per share of one-time transaction expenses and is further impacted by two significant capital raises completed during the period. The one-time expense is primarily a transfer tax associated with taking side to a large Spanish First Mortgage loan portfolio that was acquired for $0.57 per [euro] of unpaid clinical balance. We believe that we are incredibly well positioned for the remainder of 2014 due to strong performance throughout our portfolio including rapidly improving operating results to Colony American Homes. In fact, I'm delighted to report that we are increasing our dividend to $0.36 per share for the second quarter based on this positive outlook. Following a record year of investment activity in 2013, we achieved record deployment again this past quarter of approximately $630 million and year-to-date we have now invested and committed to invest approximately $800 million or $625 million net of investment level non-recourse leverage. The $800 million of deployment is composed of; one, $548 million in 16 loan originations; two, $100 million in the U.S. loan portfolio acquisition and three, a $151 million in three real estate equity investments. As I have mentioned before, the investment environment remained very favorable for Colony Financial, given our global reach and ability to participate in different parts of the capital stack and across different property types. By way of example, our local European team is currently pursuing a robust pipeline of deals including loan acquisition, loan origination and recapitalization opportunities and typically emanating from some form of property lender or borrower distress. A fine example is a loan origination we completed late in the first quarter. It involves a 140 million pound loan primarily collateralized by a first mortgage on a large UK shopping center and was generated from a borrower recapitalization transaction. The loan proceeds were used to refinance an existing loan at a significant discount to par, despite the borrower being current on all interest payments. The investment includes a first mortgage loan position, with a 10% interest rate and a 35% equity interest in the shopping center. We expect our first mortgage position to partially pay down in the next several months with a significantly lower cost third-party first mortgage, leading us in the second mortgage position with the remaining loan balance in addition to our equity interest in the property. This investment was sourced on the proprietary basis in Colony Capital’s long standing relationships in Europe and was underwritten and executed by Colony’s established European investment teams. With this investment, we have increased our European portfolio exposure from 10% at the end of 2013 to approximately 17% today and expect this to further increase during the next few quarters. With improving economic and commercial real estate fundamentals in the United States, we continue to focus on transitional commercial real estate first mortgage loan origination opportunities and equity investment opportunities in credit payment leased properties and real estate platforms led by best in class management teams. Platforms maybe Colony led such as Colony American Homes or led by independent management teams and we have several deals we are currently underwriting of this variety. By investing in platforms we can participate in both the value of the underlying real estate assets and the upside created in the platform itself. The platform value in these businesses may ultimately be realized still, sales, management buyouts or other public market executions. Another new U.S. investment I would like to highlight is $100 million commitment to a consortium led by (inaudible) and including several other real estate investment firms that is acquiring and (inaudible) with the plan to merge business into the consortiums already owned Albertson’s national grocery chain business. While our current commitment is $100 million, we soon expect to dissipate half of this position to a path of third party co-investor leading us with $50 million economic exposure when the deal close is anticipated to be late in 2014 or early 2015. The pro forma company will have an estimated enterprise value of $14 million of which a substantial portion is attributable to real estate. This is a very exciting transaction that has the potential to generate highly opportunistic equity returns via unlocking value in the real estate and achieving economies of scale in a much larger combined operating business. Distressed opportunities in the U.S. are declining at this point in the cycle for sure but it’s not entirely game over yet. As highlighted in the first quarter by an REO acquisition we did involving a luxury hospitality resort in Hawaii and a loan portfolio purchased at a discount to par from a European bank which was exiting the U.S. market. We continue to underwrite a number of non-performing and sub performing loan portfolio offerings and REO portfolio sales in the U.S. currently. Finally, I would like to provide an update on the Colony American Homes business. As of last week, the portfolio had approximately 16,500 homes, up from approximately 14,900 as of December 31, 2013. The current average cost basis including renovations is approximately $179,000 per home and we expect to generate an asset level net yield of approximately 6%. Operationally, there has been tremendous improvement in portfolio occupancy from 61% as of December 31, 2013 to 70% as of March 31, 2014 and actually 73% as of last week. Management’s intense focus on faster renovations and leasing combined with a slower acquisition pace is yielding very promising results. In the first quarter CAH contributed positive core earnings contribution of approximately $700,000 or $0.01 per share to Colony Financial. And we expect core earnings in Colony American Homes to increase in the quarters ahead as the company benefits from higher occupancy, more internalized property management, and various other revenue and cost management initiatives expected to improve operating margins. CAH has also developed a very effective proprietary technology platform that is streamlining operations and yielding grade early results. On the capital markets front, CAH completed its first securitization transaction backed by income generated from approximately 3,400 single family-rental homes for proceeds of $514 million, which is 70% loan-to-value or approximately 81% loan-to-cost at a blended rate of LIBOR plus 1.78% for a fully extended 5 year curve. We are very pleased with this execution, which further validates single-family rental housing as an institutional asset class and we continue to actively explore additional financial occupancy. As a reminder, Colony American Homes still has a $1.2 billion credit facility to even make additional acquisitions or originate loans to other third-party owners of single-family homes for rent through its wholly owned subsidiary Colony American Finance otherwise known as CAF. Expansion of this lending program will remain a strategic initiative in 2014 as we view this platform as a highly attractive and very complementary business to CAH's core business due to its potential current income profile, lead generation for future home acquisitions and CAH's ability to seamlessly underwrite the collateral in credit. To bolster this initiative, we recently hired Beth O'Brien as President of Colony American Finance. Beth previously served as Executive Vice President and Managing Director of Auction.com. Where she ran residential capital markets and also had prior experience of Citigroup Global Markets and Goldman Sachs. As you can see the CAH management team has been extremely busy transforming the company into a more vertically integrated and scale business, while adding significant value to the underlying assets and platform. All of these initiatives are helping prepare to company to potentially become public. This can be accomplished in a variety of different ways. So, in conclusion all aspects of our business, acquisitions, originations, asset management and capital market executions both in Europe and North America are in top tier and we've never been more excited about our future. So, now I'll turn the call over to Darren Tangen, our COO and CFO, for a more detailed summary of our first quarter financial results.
Darren Tangen: Thank you Richard. We reported core earnings of $27.1 million or $0.33 per share in the first quarter and as Richard highlighted earlier, our results were impacted by $0.06 per share of transaction cost. The majority of which was $3.8 million in transfer taxes, related to our Spanish commercial real estate loan portfolio acquisition, which I have disclosed in our last call. The other transaction costs during the period were embedded within two of our unconsolidated joint ventures, the REO luxury hotel we acquired in Hawaii and single family homes acquired within Colony American Homes. First quarter net income was $16.4 million or $0.20 per basic and diluted share. A $0.13 per share difference between core earnings of $0.33 per basic share is composed of approximately $0.08 of depreciation expense resulting from our various equity interests including single family homes and $0.05 of non-cash equity compensation expense. Both book value and fair value per share increased meaningfully in the first quarter. Book value per share increased to $18.98 at March 31, 2014 up from $18.72 at December 31, 2013 an increase of $0.26 per share. Fair value per share increased from $20.78 as of December 31, 2013 to $21.20 as of March 31, 2014 an increase of $0.42 per share. Also we paid a dividend of $0.35 per share for the first quarter consistent with the quarterly dividend in each quarter in 2013 and as Richard mentioned we will be increasing our dividend to $0.36 per share beginning in the second quarter of 2014 based on our positive earnings outlook. With respect to our first quarter earnings our share of loss from Colony American Homes was $3.2 million on a GAAP basis or approximately $0.04 per basic share. However core earnings from our interest in Colony American Homes which adds back depreciation was approximately $700,000 or a penny per basic share up from approximately $200,000 in the prior quarter. This is the third quarter in a row that Colony American Homes made a positive albeit small contribution to our core earnings. However as Richard noted Colony American Homes management team has made significant operational improvements over the past few quarters and we expect this trend to continue. As such we expect our investment in Colony American Homes to contribute increase in core earnings for the balance of 2014 a substantial improvement to the breakeven core earnings contribution from Colony American Homes in 2013. Capital markets activity has also been robust. So far in 2014 with inaugural securitizations in two of our platforms Colony American Homes were $514 million and our transitional commercial real estate lending platform for $126 million both at very attractive pricing levels of LIBOR plus 178 basis points. We also completed two accretive corporate capital raises involved in convertible debt and common equity totaling $560 million of new capital. I would like to provide a little more background on the securitized financing completed within our transitional commercial real estate lending business and our expectations for this platform going forward. This is an exciting strategy for Colony Financial to manufacture outsized yields in an otherwise low yield lending environment and an area of meaningful potential balance sheet growth in the years to come. This platform targets floating rate shorter term first mortgages involving strong sponsorship, attractive loan base fees in the underlying real estate collateral leverage ratios of 70% to 80% and starting minimum debt service coverage ratio of one-time. With some catalyst to cash flow growth that we’ll see debt service coverage ratio grow to 1.3 times or higher. The platform targets all major property types and usually involves properties in need of stabilization through additional lease up repositioning and or major capital investments. Given the more intensive underwriting of transitional commercial real estate assets commercial banks life insurance companies and conduit lenders have not been active in this market which has left a large opportunity for more specialized lenders such as Colony Financial to fill the void. The market is even more underserved when loan sizes drop below the $25 million threshold. This all translates into higher interest rates on new loan originations that once securitized can deliver very attractive returns on the retained interest. Keeping point, we completed our first securitization transaction early in the second quarter on 11 loans that provided 66% match term, non-recourse leverage at a weighted average coupon of LIBOR plus 1.78% on $190 million of contributed loans. The average loan to value on the contributed loans was 70%, average initial debt yield was 10% and the average debt service coverage ratio was approximately 1.5 times. We ultimately retained $79 million of the subordinated bonds and affiliated loans outside the Trust that are now yielding a blended rate of LIBOR plus 14%. Subsequent to this first securitization, we have closed or are in the process of closing in excess of another $300 million of loan originations and our expectation is to complete approximately $750 million to $1 billion of originations in 2014 and considerably higher volumes in 2015 and beyond when a wall of commercial real estate loans are scheduled to begin maturing in the U.S. On the asset management front, I'd like to provide an update on our performance across our various investment strategies as of the end of the first quarter, loan acquisitions makeup approximately 25% of our portfolio; half of which is performing and sub-performing loans which are all performing at or better than underwriting on average. The other half is represented by our small balance loan portfolios, which included more non-performing loans at the time of acquisition and optimal requires various workout resolutions managed through our captive asset management company, otherwise known as our AMC. We continued to experience strong performance from our seasoned small balance loan portfolios during the first quarter. We currently own an interest in 20 seasoned small balance loan portfolios that we acquired at an average purchase price of $0.54 on the $1. We have resolved approximately 42% of the unpaid principal balance as of the end of first quarter and total collections on these resolved loans averaged 1.4 times our purchase price bases. Trailing 12 month weighted average current yields for the remaining loans in these portfolios as of March 31, 2014 was 7%, despite almost 57% of the loans being non-performing. Turning to our book of origination, which represents approximately 40% of our portfolio now; these positions sits between an average first dollars loan-to-value of 24% and an average last dollar loan-to-value of 75% and yield 11% on a blended basis, a very attractive yield given this risk profile. The balance of our portfolio approximately 35% falls under the equity or equity-linked category and includes our positions in Colony American Homes, the multifamily portfolio preferred equity, the select service hotel portfolio and several smaller loan to owned assets. From a liquidity standpoint, we remained in good shape with full availability under our $420 million general corporate credit facility and our $150 million warehouse facility for the transitional commercial real estate lending platform. We are also currently working on putting additional warehouse lines in place for the transitional commercial real estate lending platform and separately are completing additional investment level non-recourse financing including securitization. Book leverage was 25% at the end of the first quarter and leverage was slightly under 35% when accounting for debt at our unconsolidated joint ventures. We had no borrowings under our credit facilities at the end of the first quarter. However, we do expect to more actively utilize our revolver in the months ahead which generally served as a bridge to more permanent financing takeouts. Given all of this, we feel extremely well positioned to take advantage of our considerable pipeline of deals, all of which will benefit our earnings production for this year and fortify our prior comments that we expect 2014 core earnings to meaningfully surpass 2013 levels. That concludes our prepared remarks and we would now like to open the call up to Q&A. Operator?
Operator: Thank you. (Operator Instructions) Our first question comes from Dan Altscher with FBR. Please proceed with your question.
Daniel Altscher: Thanks. Good morning. I appreciate you taking my call. Dividend increase was a nice surprise here, maybe this is little greed, but given the way it seems like the outlook is for the core run rate power is increasing pretty well throughout the rest of this year, why not raise a dividend more than just a penny?
Richard Saltzman: Thanks Dan for joining us and thanks for the question. Look, we are kind of glass half empty conservative in our outlook with respect to just how much we raise a dividend, because we never want to find ourselves in a position where we get out too much in front of ourselves. So therefore, any increase that we are going to do is always one where we have tremendous confidence in our ability from a recurring earnings standpoint to be able to pay that dividend. So that’s not to suggest that we might not find ourselves in a position later in the year to do a little more as you suggest, but we are hesitant to kind of do it all at once just given where we are and we do have the confidence in the penny as of the moment. So we’re delighted that we were able to basically offer that today, but we’re just going to be conservative in our outlook with respect to our ability to pay an increase going forward. Again not to say that it might not happen again this year, it could, but we just want to be reserved in that judgment for the moment.
Daniel Altscher: Okay. That makes sense. I appreciate the conservatism there. Maybe just switching to a different topic, a little bit on the numbers, the equity income in the JV -- excuse me was down a little bit like a $22.6 million, down a bit for the last two quarters. Hard to tell obviously what’s going on there, but there is going to be a lack of gains that we realized there or anything that’s worth noting?
Richard Saltzman: It could be a couple of things there might have been a little less gain activity this period relative to last as you suggest, Dan. And I think the other thing that might be flowing through there is greater depreciation coming through Colony American Homes could be another thing that perhaps brought that number down a little bit.
Daniel Altscher: Okay. I appreciate and that asset makes sense over there. Interesting I thought it was safe way deal the participation on that front is that maybe just a one-off transaction or maybe how do you involve with that through service and is there the expectation to get involved with more LBO style activities down the road that have real estate components to them?
Richard Saltzman: Well, I think the answer is yes to kind of all of those questions. We have very good relationships with a number of members of the consortium in the Safeway transaction. And of course you'll recall that towards the beginning of our life as a public company, we participated in the Colony led acquisition of First Republic Bank the similar fashion. So it could be Colony led, it could be third-party led like it is in this particular case. But, so I don't want to say it is one-off completely, they are kind of random in terms of when they happen for sure. And it's not to say that we're going to do 1 or 2 of these every year necessarily. But as they do arise opportunistically and we feel comfortable from kind of all perspectives and in particular from a real estate perspective, we will on occasion invest judiciously in this type of transaction and hopefully for extraordinary returns.
Daniel Altscher: Alright, great. Thanks. I appreciate the time.
Richard Saltzman: Yes, thanks Dan.
Operator: (Operator Instructions). Our next question comes from Jade Rahmani with KBW. Please proceed with your question. Jade, your line is live.
Jade Rahmani: Hi, sorry. Can you hear me?
Richard Saltzman: Now we can, Jade. Hi.
Jade Rahmani: Great. Good morning everyone.
Richard Saltzman: Good morning.
Jade Rahmani: Thanks for taking the question. Regarding -- a quick one on earnings. If we add back the $0.06 of transaction expenses, do you think that recent investment activity which seems to be firing on all cylinders is enough to offset dilution from the recent equity raise in the second quarter in particular?
Darren Tangen: Yes, I do think we feel comfortable with that statement, Jade.
Jade Rahmani: Okay. And any transaction expenses expected in the next two quarters?
Darren Tangen: Nothing material that we have right now. I mean there is always going to be a little bit of transaction costs within the Colony American Homes platform as they are acquiring new homes. But I think outside of that, it's really just loan portfolio acquisitions and equity purchases of real estate that trigger some of these transaction costs. And there is really nothing that material on the horizon right now that I would -- that we're aware for the second quarter that I would point you to, like I did last quarter with the Spanish portfolio.
Richard Saltzman: Yes Jade, just to add though. We are looking at a lot of deal flow in Europe right now, some of which is large, some of which is clearly loan acquisitions and other types of deals. And so depending on our success rate in connection with making some of those acquisitions, it's a little bit hard to predict. But certainly given where we are right at the second, Darren's answer is the appropriate one.
Jade Rahmani: Great. Thank you. On the acquisition part of the portfolio, when we think about the non-performing loan percentage, I think it's 57% you said.
Darren Tangen: Yes.
Jade Rahmani: How seasoned they; is that at this point and what are the expected outcomes? And do you still think those should result in gains in north of 10%?
Darren Tangen: Yes. So, these 20 portfolios that we have an interest in now and this includes the 9 FDIC portfolios that we've done over time as well as direct purchases from other financial institutions. And in general that’s a business that was underwritten to generate 1.4 to 1.5 times equity multiples on our invested capital. And as I highlighted that’s what our experience has been on the loans that we’ve resolved to-date. And generally speaking the resolution timelines for these portfolios is three to four years in total. And so depending on some of our earlier portfolios, we’re now sort of in the later stages of fully resolving; some of them are recent loan portfolio purchases; we might be only one year into it. So on average in terms of the seasoning, given that we’re just a little over 42% resolved overall on an unpaid principal balance sheet and kind of see that we are kind of half way through which would suggest sort of two years of average seasoning on a four year business plan. But I think in terms of what we are seeing as far as the resolutions go, we have been very pleased with the results to-date. And yes, we do anticipate that these portfolios are going to be generating some gains for us in the future as well as current yield.
Jade Rahmani: Okay. When we think about your investment capacity and liquidity, I mean I think you said at quarter end the credit facility was undrawn. Can you to talk to how much of the 1Q originations were funded in the quarter and what’s the aggregate amount of unfunded commitments at the company currently?
Darren Tangen: Yes. When I say that we were undrawn on the revolver, I mean all of those loans in the first quarter had obviously been funded at that point. And as we sit here today, we still are undrawn on our general corporate facility as well as our warehouse line. There is a steady flow of future loan fundings and loan originations that are coming through the transitional commercial real estate lending platform which we will be funding. We have a little bit of cash on hand but then once we get through that we will be starting to borrow and draw on our facility to fund the future loan originations. So, I think we're certainly in good shape. And then of course, any drawings that we do on these revolvers of warehouse line, the plan is that that really is a bridge to a more permanent financing kick-out in the future which could include additional securitizations.
Jade Rahmani: Okay. And I think a question for Richard. I mean when we attend mezzanine conferences, the high yield conferences, it seems that the fund participants we hear from are up in arms about the level of competition and how hard deals are to come by. Yet you based on the subsequent first quarter activity seem to still be getting yields in the -- I mean the actual coupons are in the LIBOR plus 9% to 10.5% range not including fees. So, I mean maybe Richard, could you give a sense sort of how you see the market and what you think drives your ability to when deals with yields above, where other for example mezzanine players seem to talk about?
Richard Saltzman: Look, I think this is just a tale of two cities, right? I mean you have on one hand, the [vanilla] side of the market which is stabilized, income producing assets and the market for debt, both in terms of first mortgage and mezz. For those types of assets, it is very liquid and very competitive and the yields have been compressing for quite some time. On the other hand, I mean where we are playing is basically what we did do a lot of that a few years back, more at the onset of the financial crisis and when the yields were a lot more interesting and compelling from our perspective. Now given where we are today, we have shifted our focus to either transitional assets as Darren was describing in detail, where maybe the debt service coverage is only 10 or only a little bit above 10 and where that something happening at the asset from the standpoint of redevelopment, value add creation, more equity coming in, where we can come in, in to a position where we have to underwrite more complexity and basically really get into the weeds whether this real estate is going to work on a go forward basis. And we're willing to do that work number one, and we're willing to take those risks, when we feel there is good visibility and transparency on an improving outlook. So that’s kind of one thing that we’re doing. And then on the other hand, I think what you also hear us saying is given that some of the debt opportunities aren’t as interesting any longer here in the United States, we are now shifting and moving down the cash back and doing preferred and equity and want to make more investments in equity platforms because we think given where we are in the cycle that’s where we can earn the outsized returns that we're looking for. So I think it’s consistent with what you are hearing at these conferences; it’s not that it’s different, it’s just that we're willing to go to those places where maybe those vendors aren’t as comfortable.
Jade Rahmani: Great I think that’s helpful. On the Colony American side, the profit in the quarter translates to a 0.5% yield at just 70% occupancy which I think which speaks well to the future outlook. What kind of yields you think could be possible by year-end?
Darren Tangen: Well, Jade, it’s little hard to predict that here today. I mean until the portfolio gets closer to stabilization, which we won’t quite be at by the end of the year. I mean I think, we're at 73% as of last week, as Richard mentioned and I would hope we would be into the higher 70s if not low 80s by the end of the year. And if that’s the case, I mean even that is not quite stabilized just yet. So whatever numbers we’re picking up by the fourth quarter, let’s say it’s still not going to be a stabilized, normalized contribution that we would expect from this business once it is fully stabilized. So it’s going to be a progression to get there, but we certainly feel, based on what we are seeing right now and the progress the team is making that we're going to see considerably more core earnings contribution from Colony American Homes in Q2, Q3, and Q4 this year.
Jade Rahmani: Great, thanks very much for taking the questions.
Richard Saltzman: Thank you, Jade.
Operator: There are no further questions in queue at this time. I would like to turn the call back over to management for closing comments.
Richard Saltzman: Okay. Thanks everyone again for joining us today. We appreciate it. Again we're off to a terrific start here in 2014. And we do look forward to reporting on our further progress here in the near term. So again, have a great day and thanks for join us.
Operator: Thank you. This does conclude today’s teleconference. You may disconnect your lines at this time. And thank you for your participation.